Carrie Gillard: Good morning. And thank you for joining Shopify’s Third Quarter 2023 Conference Call. Harley Finkelstein, Shopify’s President; and Jeff Hoffmeister, our CFO, are with us today. After their prepared remarks, we will open it up for your questions. We will make forward-looking statements on our call today that are based on assumptions and therefore subject to risks and uncertainties that could cause actual results to differ materially from those projected. We undertake no obligation to update these statements except as required by law. You can read about these assumptions, risks and uncertainties in our press release this afternoon, as well as our filings with the U.S. and Canadian regulators. We’ll also speak to adjusted financial measures, which are non-GAAP and not a substitute for GAAP financial measures. Reconciliations between the two are in the tables at the end of our press release. And finally, we report in U.S. dollars. So all amounts discussed today are in U.S. dollars unless otherwise indicated. With that, I will turn the call over to Harley.
Harley Finkelstein: Thanks, Carrie, and good morning, everyone. We are here to discuss our latest quarterly results, which reflect Shopify’s continued growth and commitment to empowering businesses around the globe. Our Q3 results should be taken as a clear indicator of our ability to reshape Shopify, making us faster, more agile, and ready for sustained profitable growth. GMV was up 22%, revenue was up 25%, gross profit was up 36%, and free cash flow margin was 16%. Simply put, we executed extremely well in Q3, delivering results that reflect the power of our Merchant First business model and the progress we are making to further solidify Shopify’s position as the global leader in commerce. At Shopify, we excel in the face of change. It’s embedded in our DNA and inspires us to continually learn, innovate, and deliver more products to make commerce better for everyone. In the past six months, I’ve talked about how the wider commerce landscape is rapidly changing and how Shopify has adapted to this, operating with greater discipline and efficiency to ensure our merchants have the tools they need to navigate any macroeconomic environment. The trust we have built with our merchants combined with our growing scale highlights the power of our platform and gives us increasing opportunities to deliver even more value to our merchants. From small local retailers to large global corporations, Shopify is helping them achieve even greater heights of success. So, let’s dive in to the key accomplishments in the quarter as we continue to execute on the massive opportunity ahead, supercharging merchants of all sizes to sell to anyone, anywhere and always. Starting with product. No other platform has built for every facet of commerce like Shopify has, whether it’s online or in person, SMB or enterprise, direct-to-consumer or wholesale, domestic or global. We are multidimensional and moving quickly to expand our unified commerce platform to not only remove barriers for merchant success, but also to help them thrive. From AI to Checkout to Shop Pay, we are making the hard things easy and everything else possible. At Shopify, we believe AI is for everyone, and its capabilities should be captured and embedded across the entirety of a business. We’ve integrated Shopify Magic, our suite of free AI-enabled features across our products and workflows, and merchants are already finding success with unblocking productivity and creativity. Shopify Magic can take the power of Shopify and a merchant’s own data to make it work better for them. Whether it’s enabling unique personalized page and content generation, like instantly crafting an ‘about us’ page in your brand voice and tone or building a custom page to showcase all the sizes available in your latest product collection. We are equipping businesses with more ways to enhance their workflow and streamline daily operations so they can focus on what matters most, growing their business. Moving on to Shopify Checkout. We continue to invest into building the most seamless, secure and efficient checkout experience for our merchants. Since launching Checkout Extensibility, our new way to customize Shopify Checkout last year, we’ve seen improvements across our merchant base. It is more adaptable, loads faster and converts better. Designed to handle high volumes, it is ideal for the world’s largest flash sellers like the iconic brand Supreme. Its approach to extensibility is fully compatible with Shop Pay, making it the world’s first completely customized one click checkout. And, all these customizations are upgrade safe, so merchants never have to miss out on the latest features and optimizations we release. Since launch, we’ve exponentially expanded our suite of APIs, components, and capabilities, and seen over 400 checkout apps in the Shopify App Store that supports checkout extensibility. Throughout the quarter, more brands are using checkout extensibility to leverage its enhanced flexibility, performance, and capabilities. We now have consumers’ favorite brands like Ruggable, Thrive Cosmetics, and MrBeast, and thousands of others using our checkout extensibility with more transitioning over every day. In September, we launched the new one-page checkout, a significant change to our checkout experience that underscores our commitment to creating an experience that is not only fast and streamlined, but also more enjoyable for the buyer, ultimately leading to higher conversion. In just two months, we’re already seeing one-page checkout speed up buyer completion time by an average of 4 seconds. That is a huge achievement considering its potential to boost customer acquisition, sales, and brand loyalty. As I mentioned earlier, checkout extensibility is fully compatible with Shop Pay, making it the world’s first completely customizable one click checkout. With over 100 million buyers already using Shop Pay, it’s increasingly become the go to choice for consumers, getting popularity over guest checkout and credit cards. In the quarter, Shop Pay facilitated $12 billion in GMV, an increase of 50% year-over-year and cumulative $110 billion since its launch in 2017. Surpassing the $100 billion mark on Shop Pay was a significant achievement for the team, but we have our sights set on further establishing Shop Pay as the preferred accelerated checkout method across commerce. It’s a tool that retailers, large and small, on platform and off, will continue to seek out given Shopify’s overall conversion rate outpaces the competition by up to 36%, and on average, 15% more than others. From embedding AI into our solutions, to optimizing checkout, to expanding the availability of Shop Pay, these are just a snapshot of the wide array of waves Shopify is making it easier for merchants not only sell locally, but globally. Cross-border GMV was approximately 15% of total GMV in the quarter. And in late September, we successfully launched Markets Pro to general availability in the U.S., attracting thousands of merchants to this new product offering. Markets Pro takes on the most stressful and time consuming elements of international transactions, so our merchants don’t have to. As a fully integrated merchant of record solution, it is built on top of markets. Markets Pro is a great option for merchants looking to scale to new countries quickly without having to navigate international tax compliance or fraud while tapping into the best-in-class international shipping options with prepaid duties. Since the rollout, the product has become one of the fastest growing e-commerce merchant of record providers, and we cannot wait to expand its accessibility to other countries beyond the U.S. in 2024. Our primary focus for international remains centered on extending Shopify’s products and capabilities to enhance the merchant experience in every market. This includes things like launching shipping guidance for merchants, navigating them through streamlined privacy guidance, initiating localization experiments across various marketing channels, and bringing localization tools and AI-backed language translations to the Shopify App Store. And it’s working. In Q3, similar to the first half of the year, we delivered considerable GMV and merchant growth in key European markets like Germany, France, and the UK with GMV in these three markets growing greater than 2x GMV for all other geographies. With our growing international and cross-border tools, we are increasing the ways for merchants to reach customers in new markets with ease. And with our growing network of partners, merchants can offer their products on even more channels and surfaces. It is this increasing optionality and integrated ecosystem that separates us from everybody else. We offer an agile and scalable platform that can open and scale to a 1,000 physical retail locations. Turn on social channels like TikTok, YouTube, and Instagram with the click of a button; expand to wholesale via Shopify Collective or our B2B solution; connect and sync data with multiple marketplaces like Walmart, Amazon, and eBay through our Marketplace Connect app. And all of this can be done within Shopify, giving brands a single centralized place to reach a larger base of customers anywhere, anytime, and always. Within retail, our go-to-market efforts continue to yield strong results. Offline GMV increased 26% year-over-year in the quarter, driven primarily by larger retailers joining the platform. Nearly a third of point-of-sale GMV in Q3 came from Shopify Plus merchants, and our point-of-sale pro subscriber base was up 34%. All powerful indicators that our world class point-of-sale product is fueled by an even stronger go-to-market that is delivering results and bringing more merchants onto the platform. The strength of our unified commerce platform and scalability of our retail channel continues to draw in major omnichannel retailers, like Banana Republic Home, Princess Polly and the Sacramento Kings. We’ve worked consistently to build out the features and functionality that larger, multi-location retailers require, including powerful, customizable staff permissions, remote management of the point-of-sale products, and innovative professional payment devices like our new point-of-sale go, which we brought to the UK and Ireland in the quarter. Many of these larger merchants are using Shopify point-of-sale to streamline their operations, giving them a clearer view of their business and greater ability to build personalized customer relationships. Even as more and more large brands choose Shopify for our unified commerce capabilities, we remain the best commerce offering for small and medium sized businesses. This is evident on our ongoing partnership with Intuit as well as our newly established partnership with Faire, making them a recommended wholesale marketplace. As part of the partnership, Faire also recommends Shopify as the preferred provider for delivering exceptional point-of-sale experiences to their merchant base, which has hundreds of thousands of retail shops in 20 countries. This partnership further reinforces the robustness of our offering for retailers aiming to stay at the forefront of commerce. As consumers increasingly expect to interact with their favorite local shops both online and in person, we spent the past year developing a plan for retailers who primarily operate in physical locations, but also desire a simple online presence. We call it our retail plan. Tailored for retail first businesses for $89 a month, retailers can leverage the strength of Shopify through a point-of-sale platform to help them run and manage their brick and mortar stores. Since its launch in early August, 16% of our Retail Pro locations growth has come from merchants subscribing to this plan. While it’s still early days, the retail plan is just another way in which we are uniquely positioning ourselves to expand the entry points into Shopify, thereby facilitating more commerce through a platform driving the Shopify flywheel. In addition to our success in the retail channel, the momentum in our B2B business continues to accelerate. During the third quarter, our business nearly doubled year-over-year, and by August, we already had surpassed our entire B2B GMV for all of 2022. These are strong indicators that our efforts to develop advanced features for B2B are making an impact, and we have no intention of slowing down. To establish ourselves as industry leaders, particularly for large enterprise merchants, we’re leveraging our rapid innovation and product development muscle to bring additional wholesale features such as staff permissions for sales reps and extensible discounts to make it easier to drive sales. As more consumer favorite brands on Shopify like Laura Mercier and bareMinerals adopt this product, we continue to tap into our immense potential of our platform to enhance our engagement with our existing merchants and support them in growing this channel. Beyond serving our existing merchant base, B2B is a huge growth opportunity for Shopify to tap into new verticals and cater to an entirely new cohort of merchants who exclusively conduct B2B transactions. It is a massive industry that we believe we can fundamentally transform in our efforts to continue to make commerce better for everyone. As we look to further expand and strengthen our market presence as a leader in commerce, choice and flexibility matter. We have proven that serving both start-ups and large companies is not mutually exclusive, especially when you have one of the best ecosystems on the planet to deliver at both ends of the market. Our partner ecosystem is the largest ecosystem of commerce partners in the world with 4 times more global partners than the next largest commerce provider. The ecosystem that we have cultivated and extended over the years includes our community of developers and partners that are dedicated to commerce, more than 10,000 apps in our app store, top system integrators like IBM and Deloitte, as well as our recently announced partnership with multinational advertising and technology company, WPP, and strong platform partnerships like Stripe, globally as well as newer partnerships like the expanded ones we are building with Flexport and Adyen.  One of Shopify’s greatest strengths is creating world class partnerships with commerce and product companies that are a win-win for both parties. This is central to the flywheel that every company tries to cultivate that we actually have and are incredibly proud of. Our ecosystem is critically important to the success of our merchants. If our partners succeed, our merchants succeed, and we succeed. This is by design, and it’s happening across all dimensions of our business. And in the past few months, we’ve had some exciting things happening for Shopify and our partners. For advertising product, Audiences, we recently announced integrations with TikTok, Snap, Criteo, joining our existing roster of channel ad partners including Meta, Google, and Pinterest. On the app side, our long-term partner Klaviyo, who officially launched their app in the Shopify App Store back in 2018, has successfully IPOed, which demonstrates the strength of Shopify’s ecosystem in helping our partners find success. Congratulations to the entire Klaviyo team on this huge achievement. We announced our partnership with Amazon, which will release an app in Shopify’s app ecosystem in the coming weeks, giving merchants the choice to offer Buy with Prime directly within their Shopify Checkout. This new app will give U.S. based merchants who use Amazon’s fulfillment network the option to add Buy with Prime into their Shopify Checkout, and all of it will be processed by Shopify Payments. And finally, we have signed our commercial agreement with Flexport. As our preferred logistic provider, we look forward to partnering with Flexport to bring fast, affordable and reliable logistics offerings to our merchants. More choice means more opportunities to succeed, and that’s what we are building at Shopify, because Shopify is no longer just ecommerce in North America for small businesses. We are a global unified commerce platform for merchants of all sizes. Whether it’s full stack, headless, or composable, we have a suite of capabilities that are built for every type of enterprise, every new entrepreneur, and every SMB that is looking for a fast and scalable solution that offers incredible value. No matter what a merchant might need, Shopify has a solution that is right for them, and we are building more every day to increase the optionality and the ways in which we can help businesses succeed. And the best part is that every single day, consumers’ favorite brands and the brands of tomorrow are all coming to Shopify. They trust us to provide them with the cutting edge tools to not only find success today, but to build brands that thrive in the future of commerce. Some of the brands that launched since our last earnings call include Pucci, the well known French fashion house, and luxury retail brand owned by LVMH, Ted Baker, the UK fashion designer, as well as Anastasia Beverly Hills, the celebrity makeup artist, the makeup brand, and JLo Beauty, the beauty skincare line by Jennifer Lopez, all highlighting our continued ability to meet the needs of merchants across verticals and geographies. Our go-to-market strategy combined with our robust, multidimensional, unified commerce platform is attracting more brands with established online and offline presences to Shopify, brands like PAIGE Denim and Oak and Fort, who recently signed with Shopify because we can offer them optionality and scalability to power their businesses online, offline, and everywhere in between. We also saw our go-to-market efforts lead to Shopify signing deals with enterprise level brands around the world, including luxury marketplace, Moda Operandi; footwear company, TOMS, Liberated Brands, the retail and ecommerce operator of Boardriders, which is home to brands like Quiksilver, Roxy, DC Shoes, Billabong, Element, and many more; premium wine company, Treasury Wine Estates; specialty beverage marketplace, BevMo! powered by GoPuff; our largest EMEA brand to date, Danish online and physical yarn brand, Hobbii; along with Austrian (sic) [Australian] beauty brand, AMR Hair & Beauty; and Snowpeak, a Japanese designed camping gear company, our largest brand signing in Japan. Beyond these brands, many others continue to come to Shopify, because we offer the best value for flexible, scalable infrastructure to help them succeed. And our excitement around the enterprise opportunity is only growing stronger as we engage and sign more consumers’ favorite brands across geographies and channels. Before I hand it over to Jeff, let me just give you a quick update on how Shopify is working with brands to create incredible unique experiences that customers are absolutely raving about. Over the summer, the Shop app went on tour with Drake. It’s the first time in four years that Drake has gone on tour, so it’s a big deal for his fans all over the world. So we took the Shop app on tour with them and crafted something special for his fans that they can only get through the Shop app. We created a QR code and geofences with custom radiuses to drop his fans thousands of surprise Drake related gifts. Fans could scan the QR code at the show, head to the Drake related shop, put in their shipping details, and be sent awesome products like unreleased Nike sneakers and Champagne Hot Steps. And every drop was different, with surprise products at a surprise time. These drops are creating huge hype at every tour stop with people starting to crowd around for the drop after the show. It’s been incredible to see and be a part of, and all of it is being done on Shopify. Our merchant obsession and powerful platform ideally positions us at the epicenter of the future of commerce, unleashing new ways for merchants to engage and drive authentic connections with their customers. To wrap it up, millions of merchants around the world recognize and value the rich set of mission critical solutions that we provide. Our unified commerce operating system is the backbone powering brands all over the world. We continue to make it possible for every business owner on Shopify to leverage the power of the latest technology like AI, so they can build their businesses faster, unlock a new level of creativity and productivity beyond their wildest expectations. So, as our merchants get ready for their busiest shopping season of the year, their next flash sale, or even their very first sale, we are ready, arming them with the speed, reliability, and accessibility they need across channels, partners, and products to help them capture every opportunity, every step of the way. And with that, I’ll turn the call over to Jeff.
Jeff Hoffmeister : Thanks, Harley. Let’s dive into our Q3 results starting with GMV. GMV in Q3 was $56 billion, up 22% year-over-year as merchants delivered another strong quarter of growth. The 22% year-over-year growth in GMV represents the highest quarterly growth rate since the pandemic driven growth rates of 2021. Growth in our merchant base globally was the largest contributor to our GMV growth year-over-year. Three other key factors continued gains in Europe. Harley mentioned in his comments, the GMV in Germany, France, and the UK, our three largest merchant bases in Europe, combined grew greater than 2 times the GMV for all other geographies globally. The same is true for all of EMEA. GMV grew 2 times the rate of the rest of the world. The GMV strength in Europe is stemming from multiple sources with the growth being driven equally by new merchant acquisition and sales growth in our existing merchant base, secondly, same-store sales growth in our existing merchants globally, and finally, robust growth in our point-of-sale business, which increased 26% year-over-year for the quarter, driven primarily by larger retails joining the platform. Turning to revenue. Revenue for the third quarter was $1.7 billion, up 25% year-over-year, which translates into a year-over-year growth rate of 30% when excluding the logistics business. The key contributors to our revenue growth included the GMV strength we just discussed, the growth in our Merchant Solutions business, which was driven by a combination of increased penetration of payments and continued growth across a broad number of solutions, including capital, markets and installments, a full quarter of benefit from the subscription pricing changes on our standard plans, and growth in the number of active merchants across each of Standard, Plus and point-of-sale. In Q3, our product attach rate was 3.05%, up from 2.96% in Q3 of 2022. The key contributors were growth in payments, Subscription Solutions from the pricing change, capital, markets, installments and tax. Now, to discuss our two revenue streams: Merchant Solutions revenue and Subscription Solutions revenue. Q3 Merchant Solutions revenue was $1.2 billion, increasing 24% year-over-year, driven by growth in GMV, continued penetration of Shopify Payments and strength in our other Merchant Solutions, particularly Shopify Capital, Markets and Installments. These partially offset by not having the logistics business in the quarter. $32.8 billion of GMV was processed on Shopify Payments in the third quarter, 31% higher than in the third quarter of 2022. The penetration rate of Shopify Payments as a percentage of GMV was 58% compared to 54% in Q3 of 2022. Several factors drove the quarter’s higher gross payments volume compared to the prior year, including, the strong performance by those merchants utilizing Shopify Payments, an increasing percentage of which are Shopify Plus, new merchant adoption across the globe, greater penetration of Shop Pay and continued growth of our integrated point-of-sale solution in physical retail stores. These partially offset by our GMV mix shifting to EMEA, where we have lower GPV penetration than our core countries. Subscription Solutions revenue was $486 million, up 29% over Q3 of 2022, primarily driven by the growth in the number of merchants on both our Standard and Plus plans as well as the first full quarter of impact from the pricing increases on our Standard plans. Q3 MRR was $141 million, up 32% year-over-year. We saw strong year-over-year growth in MRR across each of Standard, Plus and point-of-sale. The year-over-year strength stemmed from increases in the number of merchants across all three of these categories combined with, for Standard, the pricing plan that we implemented earlier this year; for point-of-sale, which was up 34%, our new retail plan combined with improvements in our go-to-market strategy; and for Plus, continued growth in new merchants and upgrades with Plus growing to 31% of MRR for Q3 of this year. Moving on to gross profit. Gross profit was $901 million for the quarter, up 36% year-over-year. Gross margin for Subscription Solutions was 81.9% compared to 78.1% in Q3 of 2022. The increase was driven primarily by a full quarter of the pricing changes as well as support efficiencies. Gross margin for Merchant Solutions was 41.0% compared to 37.2% in Q3 of 2022. Our Merchant Solutions gross margin improvement was primarily due to the lack of the dilutive margin impact of our logistics business in the prior year. When excluding the impact of logistics, our Merchant Solutions gross margin was down 1 point year-over-year. It’s the same factor as we experienced in the second quarter, including growth of our lower margin Shopify Payments business, was partially offset by growth in other higher margin Merchant Solutions, including capital, installments and markets. This brings our overall Q3 gross margin to 52.6%, compared to 48.5% in the prior year. Excluding the dilutive impact of the logistics business in Q3 of 2022, gross margin in Q3 was essentially flat year-over-year, driven by growth in our higher margin Subscription Solutions business, primarily due to the pricing changes offset by continued growth in our lower margin payments business within Merchant Solutions. Operating expenses were $779 million for the quarter, down 23% compared to Q3 of 2022. The decline year-over-year was primarily driven by lower headcount, the sale of the logistics business and the $127 million in onetime charges, primarily pertaining to legal accruals incurred in the prior year. Compared to our second quarter operating expense of $818 million, excluding the charges from the sale of our logistics business, its related SBC and severance, our Q3 operating expenses were lower quarter-over-quarter, largely from lower compensation expense driven by a full quarter of lower headcount, partially offset by real estate charge for the disposal of the last lease we have related to our logistics business and a reduced footprint in one of our ongoing offices as a result of lower headcount. Relative to our outlook, three items drove our lower third quarter operating expenses, headcount, marketing and back office. On headcount, we are selectively hiring in key areas, but we decided to restart that process at a slower pace, so compensation expense was lower than planned. Marketing came in lower as we continue to remain disciplined in our spend. And lastly, back office spend came in even better than expected in areas such as travel, events, legal and recruiting. Bringing this to the bottom-line, operating income was $122 million in the quarter. Stock-based compensation for Q3 was one $102 million, compared to $150 million for the same period a year ago, driven primarily by lower headcount. Capital expenditures were $2 million for the quarter. Q3 free cash flow was $276 million or 16% of revenue. We have mentioned in our past few calls our focus on operating discipline, and you are seeing it play out in our free cash flow margins. We have delivered four consecutive quarters of free cash flow, generated more free cash flow in Q3 than the prior three quarters combined and have grown both, free cash flow dollars and free cash flow margin sequentially each quarter this year. Again, all of this in line with the work that we’ve been doing to drive strong free cash flow margins. Turning to our balance sheet, our cash and marketable securities balance was $4.9 billion as of September 30th, and we had a net cash position of $4.0 billion after consideration of the outstanding convertible notes. Before turning to outlook, I want to highlight the Flexport commercial agreement that has now been signed. We are excited to continue to partner with Ryan and the Flexport team to bring our merchants affordable and reliable logistics offerings. It is still very early days and we do not expect this agreement to have a material impact on our results for the rest of the year. Let’s now turn to outlook. Our expectations for the rest of the year are as follows, first on revenue. We expect revenue for the full year to grow to mid-20s percentage rate on a year-over-year basis, driven by fourth quarter revenue growth in the high-teens on a GAAP basis, which translates into a year-over-year growth rate in the low- to mid-20s, when excluding the 400 to 500 basis points impact from the sale of our logistics business. Our expectations for growth in Q4 reflect the continued strength of our business and the year-over-year growth rate reflects a tougher comparison to Q4 of last year, which was our highest quarterly growth rate last year and included particularly strong Black Friday, Cyber Monday weekend. Q4 gross margin percentage is expected to be up 300 to 400 basis points over Q4 of last year, with a clear driver being the removal of the dilutive margin impact of our logistics business, which was itself approximately 300 to 400 basis points. Excluding that impact on logistics, Q4 gross margin is expected to be flat year-over-year. Other key factors contributing to our Q4 gross margin expectations are the benefit of the price increase in our standard pricing, which is offset by higher expected payments volume and penetration. As a reminder, Q4 gross margin historically has declined relative to Q3 due to the higher percentage of revenue coming from payments given the GMV volume from the holiday season. Our guidance implies that our gross margins will increase for calendar year 2023 compared to 2022. We believe that our Q4 operating expense dollars will be down at a low single digit percentage rate compared to our Q3 operating expense dollars of $779 million. Our cost base is stabilizing as we continue to lean into the new shape of Shopify. We continue to demonstrate our ability to operate more efficiently, leveraging automation and process improvements, while continuing to launch new products and invest in key areas. Moving to stock-based compensation. SBC is expected to be approximately $100 million in Q4. We continue to expect capital expenditures to be approximately $45 million for all of 2023, which includes $33 million that we incurred related to logistics in the first two quarters of the year. Finally, on free cash flow. Our free cash flow margin and our free cash flow dollars have both improved sequentially every quarter this year and this trend is expected to persist into Q4. We anticipate that our Q4 free cash flow margin will be in the high-teens. This continued improvement in our free cash should be viewed as a clear indicator of the steps that we have taken this year to drive towards greater profitability as we build for the long-term. Before I close out the call and as we previously announced, we will be hosting an Investor Day for financial analysts and institutional investors on December 5th in New York. We will not be providing a long-term detailed financial model at the Investor Day. What you can expect from us is to hear from the key leaders across our business, including Tobi, Harley, Kaz, our COO, Bobby, our Chief Revenue Officer and Glen, our Vice President of Product for Shopify Core. Throughout the event, we plan to discuss the significant market opportunity ahead of us, our multiple durable growth levers, and our approach to product innovation and go-to-market. More information regarding the event can be found on our corporate website, investors.shopify.com. In closing, the top line growth in our business remains very strong. Our focus on operating expenses remains unwavering and our free cash flow generation continues to strengthen. All these factors clearly showcase the resilience of our business model, our robust market position and our capacity to generate more value for our merchants, which subsequently drives our success. With that, I’ll now turn the call back over to Carrie for your questions. 
A - Carrie Gillard: [Operator Instructions] Our first question comes from DJ Hynes at Canaccord.
DJ Hynes: Harley, given the success you’ve seen with the Standard plan price increases, how does that inform your thinking on price optionality in the Plus base as you look to ‘24?
Harley Finkelstein: Hey DJ, thanks for question. Yes. I mean, you said it -- we saw, when we increased our Standard price by about a third, we didn’t really see any issue come from merchants. I think the price to value equation of Shopify is still so far on the side of value. And so, one of the other things we think about a lot more recently, certainly than the past, is monetization in general. We’re really thinking about how to monetize which products and when, and we’re doing that across the board, whether it’s when do we monetize Audiences, when do we relook pricing on Shopify Plus or the enterprise offering, but that’s something that we’re taking a really hard look in. And I think the success of the standard price change earlier this year proved to us that we can still -- we can incrementally change our pricing in the future without creating any major shift in that price to value ratio. So when we keep in mind, on the enterprise side, certainly, right now, what we’re seeing is that every enterprise needs something different, someone headless, someone something right out of the box like Plus, others want more of a modular system like commerce components. And right now, no matter what you need from Shopify, we have a product and solution for you and it’s working really, really well. So, we’ll continue to look -- relook pricing when it comes to things like enterprise, but, certainly, the basic price change, makes us quite optimistic that there’s still room there for us to change pricing in the future.
Carrie Gillard: Our next question comes from Craig Maurer with Financial Technology Partners.
Craig Maurer: I wanted to ask about your commentary regarding enterprise level, payments penetration. When I think about the competitive dynamic that you’re going into, one, are you largely replacing sort of one solution providers, meaning strictly a payments provider plus perhaps an additional website e-commerce company? And secondly, are there a lot of instances where the processor, the backend processor might stay the same and relationship changes from the merchant to you?
Harley Finkelstein: So, in terms of Shopify Payments penetration, we’re at about the 58% right now. That is an all time high in penetration rate. And you’re seeing us onboard new businesses to Shopify that are using Shopify Payments, Banana Republic Home, for example, or HiSmile or Anastasia, these new brands that are coming on. In some cases, these are very, very large, businesses that are still opting to use Shopify Payments. We’re also seeing Plus merchants, SP or Shopify Payment penetration is actually higher than standard penetration. So, there’s a lot of opportunity there to keep going. As we bring more merchants on, more merchants will take it. But remember, one of the things that we think is a real lever to increase more merchants using more solutions from us generally, but specifically payments, things like Shop Pay or Shop Pay Installments or Shopify Balance or Shopify Audiences or some of the Shopify market features, like, foreign exchange conversion, you have to be on Shopify Payments to use that, and so we think we have a lot of opportunity there. Second part of your question in terms of where are they coming from, when we see these much larger brands come on to Shopify, in some cases, they’re looking to modernize their entire technology stack, which includes their payment provider, and we are the perfect solution for that. In other cases, they may migrate over and they may have an existing contract with a previous payment company. Eventually, when those expirations happen, we do see them, for the most part, moving on to Shopify Payments. It’s a better product. The pricing is incredibly competitive. And as we scale, there’s really no reason to use any other payment provider, if you can use Shopify Payments than using it.
Carrie Gillard: Our next question will come from Matt Pfau at William Blair.
Matt Pfau: I wanted to just ask on the AI features that you’ve recently released. And if you’ve noticed a discernible benefit to your business from these as customers have begun to leverage them and then also any learnings on how to potentially monetize some of these features? Thanks.
Harley Finkelstein: Yes. I mean, two ways. First of all, we ourselves are using AI inside of Shopify to make better decisions, but also for things like our support team using it so that questions like domain reconfiguration or a new password or I don’t know what my password is. Those things should not necessarily require a high touch communication. What that does is it means that our support team are able to have much higher quality conversations and act as business coaches for the merchants on Shopify. So, we’re already using it ourselves. But in terms of AI for our merchants, remember, AI has really been a part of the story for a very long time here. If you kind of think about commerce and Shopify, we kind of interact at the intersection of humans and technology, and that’s exactly what AI is really, really good at. So, we think we’re uniquely positioned to harness the power of AI. And the ultimate result of it will be these capabilities for our merchants to grow their businesses. We also think that AI is for everyone, and it could add real value specifically to retail. Now unlike other AI products, the difference with Shopify Magic is it’s designed specifically for commerce, and it’s not necessarily just one feature or one product. It’s really embedded across Shopify to make these workflows and our products just easier to use. It makes it easier for merchants to run and scale their businesses. And, of course, we think it’s going to unlock a ton of possibilities for not just small merchants, but merchants of all sizes. And, we’re going to continue to work on that over time. It’s just going to get better and better.
Carrie Gillard: Our next question will come from Samad Samana at Jefferies.
Samad Samana: Thanks for taking my question, and great to see the strong results. Maybe if I could ask on Shopify Markets and Markets Pro, the two products, especially with Markets Pro going GA. The company currently is doing 15% of transactions cross border. How much of that do you think realistically could at some point be processed through Markets or Markets Pro? And if it’s not being done that way, where is that 15% being processed today by Shopify merchants? I’m just trying to understand the opportunity and how they move over to the product to add more value for them and allow you to monetize them better as well.
Harley Finkelstein: Look, on the international side, as Jeff mentioned in his prepared remarks, I mean, we’re seeing growth in the UK, Germany, France. GMV is growing 2x faster than global GMV in Q3. We want to make selling internationally on day one as easy as it is to sell locally. And both Markets and Markets Pro are doing just that. And Markets Pro, as you heard, is now in GA in Q3. But the focus and the strategy is really to continue to localize products to implement these important commercial initiatives to make it much easier for merchants outside of North America also to start and scale their businesses. And in terms of where that’s coming from, I mean, Markets has been out for a while. That really gives merchants the simple tools to launch localized products. It includes really essential features for international selling. And then, if you want to really -- Markets Pro is really where -- if you want to take one of the most stressful and time consuming elements of international transactions out of your day-to-day, Markets Pro is the right thing for you. It’s a fully integrated merchant of record solution. Since the rollout, the product has become one of the most -- one of the world’s fastest growing e-commerce merchant record providers and it’s only going to get better over time. We’ve introduced things like foreign exchange hedging, express international shipping, tax compliance. And now merchants like MrBeast and WOLFpak and Made by Mary, very large merchants are already using it. So we’ll continue to see that rollout over time. But Europe is going really well for us. The rest of the world’s going well for us. And it’s not just getting more merchants internationally to use Shopify. It’s also getting existing merchants to increase their GMV by making it really easy to sell at every part of the world.
Carrie Gillard: Our next question comes from Brad Sills at Bank of America.
Brad Sills: And I wanted to ask about the SI channel and some of the progress you may be seeing there with Deloitte, IBM. How are some of those customers that you’re targeting there different from the traditional Shopify Plus end market? And how is the SI channel helping to customize and go after that end of the market?
Harley Finkelstein: Look, more large enterprise retailers are joining Shopify. It’s happening every single day. And I think across the market, these large brands, these large businesses are recognizing both the value, but also the ease of combining our solutions with their existing infrastructure. They’re doing it because they want a better total cost of ownership, but they also want to future proof their business. And at the start of this year, we announced, I think, January 3rd, our new enterprise solution. We now have something for everyone, whether it’s headless or it’s Shopify Plus or it’s things like Commerce Components. And part of that is also finding new channels to get in front of those merchants. And we talked about brands, like Pucci from LVMH or Moda Operandi or Boardriders, which owns Billabong and Quiksilver and GoPuff. These are all different types of merchants in different geographies. And so, what you’re seeing is a very intentional push to find better onramps into Shopify. And one of those onramps is -- are the SIs and that is going really, really well. So we now have agreements with Deloitte, EY, KPMG, Accenture, IBM Consulting, Cognizant. We just announced a new one with WPP. And what it’s really doing is it’s helping very high volume and high complexity, merchants and businesses that they already work with daily, really migrate on to Shopify. You have companies like Accenture right now that are actually training entire teams on selling Shopify and working together on these high revenue and high profit projects together, and it’s working. But you’re also seeing us, for the first time, do things like participate in the Gartner Magic Quadrant, which we are now the highest in that study in terms of ability to execute and a leader there. You’re seeing us create new summits and new events for where we’re bringing 600 global enterprise partners together. We had a partner summit a couple weeks ago in LA. These are things we didn’t do historically. And we’re doing that because we know that these sort of enterprise merchants and retailers that we want to bring on in the future, they require a different onramp into the business, and SIs play a big role in that, and it’s working.
Carrie Gillard: We’ll now go to Clarke Jeffries at Piper Sandler.
Clarke Jeffries: Jeff, I wanted to ask about the low-single-digit decline in OpEx between Q4 and Q3. What specifically is going to be the largest driver of the sequential dollar move there and any way to think about what remains the lowest hanging fruit for cost optimization?
Jeff Hoffmeister: I think one of the things that you’re going to see from us is the continued implementation of all the hard work we’ve been doing over the last four quarters, specifically to make sure we’re continuing to get to the new shape of Shopify and get to an operating expense level, which we think will allow us to be disciplined on costs while we’re going to continue to grow the top line. The things that we’ve talked about, I think from a headcount perspective, I alluded to that both as Q3 results in terms of also how we think about Q4, stabilizing where we are from on a headcount perspective. We will continue to hire in select key areas. We will continue to make sure we’re making investments in things like AI. We want to always be there for merchants. We will continue to invest in what we’re doing on the product development front. But as you heard from my comments as it relates to Q3, we’ve been very-disciplined in the back office. We’ve been very-disciplined on the marketing front. We will always -- Q3, I talked about leaning in to what we’re seeing in marketing behind point-of-sale and also as it relates to offline in Europe. So, when we see opportunities on the marketing side, we will lean in. But also importantly, at the same time, what we’re doing is we’re being really disciplined across all the different markets, products, channels, geographies. So, if we look at the returns, we as a senior management team spend a lot of time looking at the returns by channel, by segment, in terms of what are the marketing dollars need to cross, in terms of the threshold before we spend. And if in any given quarter, we don’t meet those thresholds, then obviously, we won’t spend there. So I think it’s going to be continued discipline on headcount, continued funnel marketing and driving the back office, largely through automation.
Carrie Gillard: Our next question will come from Siti Panigrahi at Mizuho Securities.
Siti Panigrahi: I will ask about the Shop app traction. So it’s good to see some of this marketing initiative you guys doing, like Drake’s tour. But could you help us understand, like, what’s the adoption so far? Like, what percentage of your consumer currently that purchased from Shopify merchants use Shop app and what kind of active use you are seeing there?
Harley Finkelstein: Yes. We’re not talking about those metrics, we’re not disclosing just yet, but the Shop app is becoming much more popular. I mean, when we launched it, we were very clear that the goal is really to strengthen merchant relationships and increase customer LTV. It is a new owned channel. It offers this end to end shopping experience for consumers. They get a real time order tracking, in-app checkout with Shop Pay and Shop Pay Installments. So from the consumer perspective, it’s, this is an incredible place where some of the more favorite brands, all have, wonderful products listed. From a merchant perspective, what really matters is it’s an own channel that can help them drive traffic the way they want, and it’s something that, obviously, you can only get by being on Shopify. Now in terms of some of the stuff we’re doing now, I mean, we’ve been teaming up -- you mentioned this earlier, but we’ve been teaming up with brands well beyond Drake, companies like Spanx and Feastables and Steve Madden, where we’re bringing some of the biggest brands on to Shop app and providing them with opportunities like Shop Cash to give these great promotions to their audiences. It grows their GMV. It also grows their user base, and we’ve done about 40 of these so far with some of the largest brands. The current focus for Shop App is sort of threefold. First is, enable merchants to customize the in-app shopping experience with things like Shop Minis. It is beautiful mobile application that actually allows them to reflect their brand in the Shop app. The second is to build incredible brand awareness and acquire new customers. That’s where Shop Cash is playing a big role. And then finally, how do they convert browsers into buyers? Things like signing with Shop and Shop identities and obviously seamlessly transact with Shop Pay. This is getting to be a really wonderful channel for these merchants to use. And so, we’ll talk a little bit more about how it’s growing in terms of some of the metrics you’d ask for in the future. But, generally, I mean, for anyone that uses Shop App, you know how great it’s become. It’s only going to get better.
Carrie Gillard: Next question comes from Tim Chiodo at UBS.
Tim Chiodo: I want to dig in a little bit more to some of the comments around Shop Pay moving off-platform. If you could just talk a little bit about how you envision the button competing maybe with the likes of PayPal or Apple Pay across the broader retail landscape in terms of checkout share and if there’s any great early signs of -- maybe example retailers where the Shop Pay button has been added alongside those payment methods for non-Shopify merchants? And also to the extent that this could be an opportunity to sort of get a trial with some of the more enterprise merchants, they get to work with Shopify, get a good experience with Shop Pay, and then potentially move more of their e-commerce infrastructure over to Shopify?
Harley Finkelstein: Yes. I mean, you sort of nailed it, which is that this really allows us to begin a business relationship with brands and businesses and huge retailers that may not otherwise be ready to fully migrate on to Shopify enterprise, whether it’s Shopify Plus or it’s headless -- our Hydrogen product or even commerce components. But Shop Pay off-platform still very much in its early days, but we see that as really the tip of the spear for enterprise, and it allows us to begin a relationship. But why is that -- is Shop Pay in particular so important? Well, right now, it is the highest converting checkout on the internet. More than a 100 million buyers have opted into Shop Pay and it’s already -- I mean, the quarter alone, it’s facilitated $12 billion of GMV and a $110 billion cumulative since we launched it. So, we know that Shop Pay is consumers’ favorite way to check out from an accelerated perspective. And now, really, what we’re trying to do is continue to make it easier to check out with Shop Pay, add it into things like Shopify point-of-sale, for example, and expand it across more surfaces. But, really, making Shop Pay the preferred accelerated checkout across commerce is the goal here. And, by creating this opportunity for some very large brands to use Shop Pay off-platform, again, the goal is not for them just to use Shop Pay off-platform indefinitely. It’s to begin a business relationship. It’s the same philosophy around commerce components, right? Not everyone wants to use all of Shopify. There are some very large brands that historically didn’t consider Shopify that are now coming on, because they want to use our checkout, which converts 35% better than our competitor or 15% better on average across the entire internet. They want to use Shop Pay or they want to use something with our inventory. They want to use our admin. They want to use point-of-sale. By allowing them to choose certain components of Shopify, we believe over time, they will take more and more components to us, and that’s what Shop Pay off-platform provides us with.
Carrie Gillard: Our next question will come from Martin Toner at ATB Capital Markets.
Martin Toner: I’d like to hear a little bit more about the commercial agreement with Flexport. Does it include a fee as a percentage of GMV? And when do you think something like that might be material to your overall numbers?
Jeff Hoffmeister: Yes. I’ll go ahead and start on this. We haven’t disclosed all the details around the commercial agreement. I did say in my prepared remarks, it’s not going to have a material impact on this year. It’s still early days. Obviously, as a result of the divestiture, we’ve got a really strong partnership with Flexport. We will continue to expand ways to partner with them. We’ll -- either at the investor day or early next year, we’ll talk a little bit more about the financial impact it will have for us. But as of right now, there’s nothing in your models I would change just based on it. It’s just still too early.
Carrie Gillard: Our next question comes from Deepak Mathivanan at Wolfe Research.
Deepak Mathivanan: Maybe for Jeff. Jeff, just following up on your 4Q OpEx guide, how much more runway do you see to optimize OpEx into 2024, specifically, in areas like back office and marketing, which have been a pretty healthy source of leverage?
Jeff Hoffmeister: I don’t want to get at this point into 2024. Obviously, I’ll give you some guidance on 2020, the last quarter of 2023. I think when you look at both Q3 results, as well as obviously in Q4, what we’ve talked about in terms of expectations, both of those without logistics, I think that gives you reasonable clarity on how we think about the new shape of Shopify in terms of where we sit right now. And we talked about in terms of the guidance, a slight downturn in terms of operating expenses for Q4. So, our goal is, as we’ve talked about and as Harley mentioned in his comments as well earlier to one of the questions. We’re going to work really hard to make sure that we continue to drive the top line and do that with a very reasonable operating expense base and try and deliver that combination of strong top-line growth and financial discipline on OpEx. So, again, while I don’t want to get into 2024 just yet, hopefully, Q3 and Q4 of 2023, give you some good indication of how we’re thinking about things. Thanks.
Carrie Gillard: Thank you. Our next question comes from Anna Andreeva at Needham. We’ll go to the next one then. We’ll take the next question instead from Bhavin Shah at Deutsche Bank.
Bhavin Shah: Great. Thanks for taking my question. GMV is very healthy in light of continued pressure on the consumer. Can you maybe just discuss the trends you saw and how they progressed through the quarter? And maybe any divergence you saw across verticals that your merchants play in? And how do you feel your merchants are kind of positioned into the holiday season? Thank you.
Harley Finkelstein: Yes. I’ll take that question. So I think, as you said, we’re coming to the busiest shopping season of the year for our merchants. What we’re seeing really is that the consumer is quite resilient. There is always things that are shifting, obviously, on the broader economic landscape, but I think our job, our responsibility is to adapt, expand, and build over time so that no matter what happens, our merchants are really well prepared, and arm them with the solutions they need to be to be successful. But we expect our merchants to continue to be resilient and outperform the broader U.S. retail market as they have in the past. I think Shopify is a product and from a decision making perspective, is -- it is such a great deal for merchants to use. The total cost of ownership is lower than on the enterprise side. In terms of modernizing your stack and making sure we are merchant with the best products and tools, that is super helpful. When you think about things, for example, like advertising, we have things like Audiences that gets better and better. When you think about aligning all of their different channels, offline, online, social commerce, all these things, they can do so from one centralized back office, which is Shopify. But I think there’s always going to be pressure points, but, historically, our merchants have done really well. We also know that shoppers are staying true to small businesses. Shopping small is actually very, very big, from a business perspective. And most of consumers’ favorite small brands are on Shopify. And more recently, a lot of the consumers’ favorite larger brands are also powered by Shopify. So, we expect that the U.S. consumer and the consumer in general around the world will be resilient and will outperform the broader, at least the U.S. retail market as well. But this is also an opportunity for us to go to very large brands that historically either had couple hundred engineers on their own that they were running their own technology company and say, focus on what you do best. This is the case, this is the Glossier story. Focus on making great cosmetics and let us help you power incredible enterprise grade commerce. But it also means there are some -- a lot of brands that are on these, sort of traditional enterprise e-commerce stacks that are just very expensive, and they’re not future proofed. They’re sort of living in a world 15 years ago. That is an opportunity for us as well.
Carrie Gillard: And our last question will come from Andrew Bauch at Wells Fargo.
Andrew Bauch: Hey, guys. Nice set of results here. I guess, I’ll just follow-up on that question. I guess, how do you see the holiday season shaping up? I mean, are we kind of expecting more frontloading this year with promotions and the like? Is cross-border going to be a continued theme to think about, or installments or point-of-sale? Just trying to think around the drivers of what we can look for this holiday season? Thanks.
Harley Finkelstein: Yes. We did a survey in partnership with Gallup recently. And, actually, we found that Americans particular are starting even earlier than before. 41% said that they started shopping in October. Another 39% said they’re going to begin shopping in November. This is for the holiday season. We also, had heard from those consumers that nearly 3 in 4 U.S. holiday shoppers plan to spend about the same or potentially more on holiday gifts this year compared to last. And the leading sort of demographic is Gen Z. 18 to 29 years old will be the biggest spenders this year, and a lot of those their favorite brands are on Shopify as well. So, I mean, look, well, it’s too soon to tell. Obviously, on the international side, I mean, brands need to be -- geographically agnostic now. The reason that things like Markets and Markets Pro are so important and such a valuable asset and product inside of Shopify is that if you’re going to be a leading brand merchant business in the future, you have to sell to a global audience, and on Shopify, we make that incredibly easy.
Carrie Gillard: I was going to hand it over to Harley for some closing comments.
Harley Finkelstein: Just last comment. Last quarter, we talked really about this new shape of Shopify that we are building. We also talked about on the call, a road map for the future. When you fast forward to today, what I hope all of you see is that it is working as expected. We are faster. We are leaner. We are more focused on our mission and becoming this global leader ecommerce. We laid out a very deliberate vision in the last couple of quarters to balance both operational ambition and financial discipline, and the results speak for themselves, delivering top-line growth and profitability, and you’re seeing more and more of the biggest brands on the planet, join Shopify. So we like this new shape of Shopify, and we’re ambitious about the future. And I hope you all have a great day, and thanks for joining us for this earnings call.
Carrie Gillard: Thank you. That concludes our 2023 Q3 call. Bye.